Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Q3 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. And after the speakers' remarks, there will be a question-and-answer session [Operator Instructions]. Thank you. I'll now turn the conference over to Mr. Peter Henrici, please go ahead.
Peter Henrici: Thank you, Krystal. Good morning. And welcome to Vishay Intertechnology's third quarter 2018 conference call. With me today are Dr. Gerald Paul, Vishay's President and Chief Executive Officer and Lori Lipcaman, our Executive Vice President and Chief Financial Officer. As usual, we'll start today's call with the CFO, who will review our third quarter financial results. Dr. Gerald Paul, will then give an overview of our business and discuss operational performance, as well as segment results in more detail. Finally, we'll reserve time for questions-and-answers. This call is being webcast from the Investor Relations section of our Web site at ir.vishay.com. The replay for this call will be publicly available for approximately 30 days. You should be aware that in today's conference call, we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ, please see today's press release and Vishay's Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. In addition, during this call, we may refer to adjusted or other financial measures that are not prepared according to Generally Accepted Accounting Principles. We use non-GAAP measures, because we believe they provide useful information about the operating performance of our businesses and should be considered by investors in conjunction with GAAP measures that we also provide. Additional factors are described in our earnings release for third quarter of 2018. Our estimates may change, and the Company assumes no obligation to update forward-looking statements to reflect actual results, changed assumptions, or other factors except as required by law. This morning, we filed a Form 8-K that outlines the various variables that impact the diluted earnings per share computation. On the Investor Relations section of our Web site, you can find a presentation of the specific third quarter 2018 information that CEO and CFO will be discussing on the call. Now, I turn the call over to Chief Financial Officer, Lori Lipcaman.
Lori Lipcaman: Thank you, Peter. Good morning, everyone. I am sure that most of you have had a chance to review our earnings press release. I will focus on some highlight and key metrics; Vishay reported revenues for quarter three of $781 million; EPS was $0.51 for the quarter; adjusted EPS was $0.60 for the quarter. All of the reconciling items between GAAP EPS and adjusted EPS are tax related, primarily due to the continuing evolution of our accounting for U.S. tax reform as permitted by SEC staff accounting bulletin 118. There were no reconciling items impacting gross margin or operating margin. During the quarter, we continued to execute transactions in response to U.S. tax reform. We completed the second phase of our program to repatriate some of our foreign earnings to the United States. The repatriation transactions resulted in payment of $65 million of foreign withholding and other taxes during the quarter, on top of the amounts paid in Q2. These taxes have been accrued at the enactment of U.S. tax reform in Q4 2017. The payment of these taxes is reflected as an operating cash flow on the statement of cash flows. I will elaborate on these transactions in a few moments. Revenues in the quarter were $781 million, up by 2.6% from previous quarter and up by 16.2% compared to prior year: Gross margin was 30.3%; operating margin was 17.7%. There were no reconciling items to arrive at adjusted operating margin; EPS was $0.51; adjusted EPS was $0.60; EBITDA was $175 million or 22.4%. There were no reconciling items to arrive at adjusted EBITDA. Reconciling versus prior quarter; operating income quarter three 2018 compared to operating income for prior quarter based on $20 million higher sales, or $27 million higher, excluding exchange rates effects. Operating income increased by $15 million to $138 million in Q3 2018 from $123 million in Q2 2018. The main elements were; average selling prices had a positive impact of $4 million, representing a 0.6% ASP increase; volume increased with the positive impact of $11 million equivalent to a 3.1% increase in volume; variable and fixed costs increased with a negative impact of $3 million; exchange-rates had a positive impact of $5 million. Versus prior year; operating income quarter three 2018 compared to adjusted operating income in the prior year, based on $103 million higher sales or $105 million, excluding exchange-rate impacts: adjusted operating income increased by $39 million to 138 million in Q3 2018 from $99 million in Q3 2017. The main elements were; average selling prices had a positive impact of $4 million, representing a 0.5% ASP increase; volume increased with a positive impact of $53 million, representing a 15.1% increase, including the UltraSource contribution; variable costs increased with the negative impact of $5 million; fixed cost increased with a negative impact of $13 million, primarily due to wage increases, incentive compensation, legal and other fees, acquisitions and R&D expenses. Selling, general, and administrative expenses for the quarter were $98 million, lower than expected due to exchange rate impacts, lower legal and other fees. For quarter four 2018, our expectations are approximately $101 million of SG&A expenses and approximately $404 million for the full year at constant exchange rates. As mentioned in my opening remarks, during the third quarter, we continued the process of cash repatriation to the U.S. Recall that while such amounts are no longer subject to U.S. federal taxes, they are subject to foreign withholding and other taxes and some state income taxes. We have approved about $232 million of taxes on approximately $1.2 billion of foreign earnings available for eventual repatriation, most of which was accrued on enactment of U.S. tax reform in the fourth quarter of 2017. In total, we received approximately $415 million for the quarter and approximately $724 million year-to-date in the United States. We utilized much of these amounts to reduce the outstanding balance of our credit facility to zero and to repay certain intercompany indebtedness. As a result of these transactions, we paid approximately $65 million for quarter three and $157 million year-to-date of foreign withholding and other taxes. Additionally, in Q2, we paid the first installment of the U.S. transition tax of $14 million. These tax payments are reflected as operating cash flows on our statement of cash flows. Thus, explaining the negative free cash for year-to-date. This leaves about $300 million of cash available for repatriation with taxes accrued. We are still evaluating the time of such repatriation, but do not expect it to be in 2018. We had a total liquidity of $1.7 billion at quarter end. Cash and short-term investments comprised $1.1 billion and there are no amounts outstanding on our $640 million credit facility. For several years, substantially, all of our cash and cash equivalents and short-term investments were held by subsidiaries outside of the United States. At the end of Q3, following these repatriation transactions, the uses of such cash described above, we have approximately $425 million of cash and cash equivalents and short-term investments in the United States. We are continuing to evaluate the future utilization of the remaining repatriated cash. The U.S. parent company and our U.S. operating subsidiaries have significant financing and operating cash needs. Our Board of Directors have authorized us to repurchase certain convertible debt instruments in open market repurchases, or through privately negotiated transactions subject to marketing business conditions, legal requirements and other factors. Such authorization does not obligate us to acquire any particular amount of convertible debt instruments and it would be terminated or suspended at any time at our discussion in accordance with applicable laws and regulations. We expect to fund any repurchases through cash on hand, including the repatriated cash and if necessary, borrowings under our revolving credit facility. The carrying value of our debt of $588 million is net of the unamortized issuance costs of $18 million and includes $114 million remaining of the convertible debentures net of unamortized discounts issued in three tranches and due in '22, '23 and '24 years respectively; and $492 million of the new convertible notes, net of unamortized discounts, due in 2025. The principal amount or face value of the converts totaled $886 million; $600 million related to the new notes and $286 million related to the remaining debentures. Now, this had no amounts outstanding on our revolving facility at the end of Q3. No principal payments are due until 2025. However, the convertible debentures may be redeemed if certain stock price thresholds are met. At the end of Q3, 2018, the convertible debentures due 2040 and 2042 are redeemable for the next quarter. Accordingly, for those tranches, we have reclassified the difference between the carrying value and the principal amount from stockholders' equity to a separate line between liabilities and equity on our consolidated balance sheet. If the debentures are converted, we would fund the principal amount with borrowings on our revolving credit facility and net share settled amounts in addition to the principal amount. This criteria is measured quarterly and measured separately for each tranche. And the amounts represented as temporary equity will revert to regular equity, if the criteria are not met for that particular tranche of debentures. As permitted by SEC staff accounting bulletin 118, we continue to evaluate the impact of enactment of U.S. tax reform. Based on additional analysis completed in the third quarter, we’ve recorded an additional $13 million of tax expense related to the enactment. This includes an approximately $7 million adjustment to the accrual for incremental foreign income taxes and withholding taxes payable to foreign jurisdictions related to our repatriation plans and an approximately $6 million adjustment to the transition tax obligations. These amounts related to the enactment of tax reform should still be considered provisional as permitted by SEC 118 subject to finalization in Q4. Additionally, our U.S. GAAP tax expense for the quarter and year-to-date periods include adjustments to re-measure the deferred tax liability related to those incremental foreign taxes payable from repatriation, such as foreign currency effects. A similar re-measurement will occur quarterly until such amounts have been repatriated. That re-measurement adjustment with $1 million expense for the third quarter and represents a benefit of about $7 million year-to-date. Our GAAP tax rate for the year-to-date period primarily is due to unusual tax items recorded in Q2 and Q3, was approximately 23%. This mathematically yields a rate of approximately 38% for Q3. Our normalized effective tax rate, which excludes the unusual tax items, was approximately 28% for the year-to-date period. This mathematically yields a rate of 27% for quarter three. We expect our normalized effective tax rate for the year to be about 28%. We continue to be impacted by the new GILTI tax, the new BIT tax, and the limitation on deductibility of some of our interest expense. We continue to evaluate the provisions of the new U.S. tax law. We may further adjust our financial and capital structure to reduce our effective tax rate. Our consolidated effective tax rate is based on an assumed level mix of income, among other taxing jurisdictions. A shift in income could result in significantly different results. Total shares outstanding at quarter end were 144 million. The expected share count for EPS purposes for the first quarter 2018 based on the average stock price fourth quarter to-date is approximately $150 million. For a full explanation of our EPS share count and variables that impact that calculation, please refer to the 8-K we filed this morning. Cash flow from operations for the quarter was $71 million. Capital expenditures for the quarter were $50 million. Free cash for the quarter was $21 million. For the trailing 12 months, cash from operations was $232 million. Capital expenditures were $212 million; split approximately, for expansion, $122 million; for cost reduction, $24 million; for maintenance of business, $66 million. Proceeds from the sales of property and equipment were $9 million for the trailing 12 months. Free cash generation for the trailing 12 months was $28 million. Both the quarter and the trailing 12 months include significant cash taxes related to U.S. tax reform and cash repatriation. Vishay has consistently generated in excess of $100 million cash flow from operations in each of the past 23 years and greater than $200 million for the last 16 years. Backlog at the end of quarter three was at $1.560 billion or 6.0 months of sales. Inventories increased quarter-over-quarter by $19 million, excluding exchange rate impacts. Days of inventory outstanding were 82 days; days of sales outstanding for the quarter were 46 days; days of payables outstanding for the quarter were 34 days, resulting in a cash conversion cycle of 94 days. Now, I will turn the call over to our Chief Executive Officer, Dr. Gerald Paul.
Gerald Paul: Thank you, Lori and good morning everybody. Vishay, also in third quarter, continued to enjoy excellent business conditions in virtually all of its markets. Inventories in the supply chain, in general, show some increases but there are no tangible signs of a slowdown in our industry. Record volume and good efficiencies supported the further substantial increase of revenues and profitability. Vishay, in the third quarter, achieved gross margin of 30% of sales, operating margin of 18% of sales, GAAP earnings per share of $0.51 and adjusted earnings per share of $0.60. We continue to be a reliable generator of free cash. However, the year 2018 will be burdened by approximately $157 million of foreign cash taxes related to our announced cash repatriation. Let me talk about the economic environment. In general, the economic environment in the third quarter, as I said, continue to be very friendly. In particular, Vishay's key markets, automotive and the industrial, do well. The manufacturing output of supplier starts to catch up to market demand, but lead times still remained long, in general. Distributors have started to clean up backlogs of inventories mainly in Asia. Coming to the regions, all regions also in the third quarter, continued to do very well. The Americas show very robust economic conditions and an exceptionally strong industrial market. Europe is still driven by strong automotive and industrial markets, we are seeing some normal seasonality. Growth in Asia continues in particular in automotive and industrial segments. There’re some concerns starting to build in the market related to new U.S. tariffs. Worldwide distribution continued strong also in the third quarter. There was another slight increase of POS quarter-over-quarter by 1%, but the major increase of 14% year-over-year. So POS remains very strong. Distributors continue to enjoy high order rates with book to bill substantially above 1; inventory at distributors increased by 9% in the quarter; inventory turns of distributors likely reduced to 3.5% as compared to 3.7 in prior quarter, and to 3.7 in prior year. But this is still a healthy situation. Some details by regions; in the Americas, inventory turns were 2.3 after 2.4 in the second quarter and 2.2 in prior year; in Asia 4.5 turns, vis-à-vis 4.7 in Q1 and 5.1 last year; in Europe, 3.8 terms after 4.3 and 4.2 in prior year. Coming to the industry segments, automotive continues to be the main driver of growth in our industry, with external electrification of the vehicle driving new programs in several sectors. Also, industrial markets remain strong across all regions and across a wide range of product segments. Fixed telecom showed some signs of recovery, starting to be supported by 5G projects. PCs and mobile phones on the other hand remained relatively weak. AMS and medical continued to look positive with steady growth expected for 2018 and beyond. Let me comment on our business development in the third quarter. Sales in Q3, excluding exchange rate impacts, came in at the midpoint of our guidance. We achieved sales of $781 million versus $761 million in prior quarter and $678 million in prior year. Excluding exchange rate effects, sales in the third quarter were up versus prior quarter by $27 million or by 3.6%, and up versus prior year by $105 million or 15.6%. We have seen a book to bill ratio of 0.95 in the third quarter; 0.80 for distribution after 1.23 in the second quarter; 1.15 for OEMs after 1.08 in the second quarter; 0.87 for actives after 1.06 in the second quarter; 1.02 for passives after 1.29 in the second quarter; 1.06 for the Americas after 1.29; 0.69 for Asia after 1.09; 1.16 for Europe after 1.18. There has been a cleanup of backlogs mainly by Asian distributors for semi-conductive products. Orders from OEMs on the other hand continue to be steady and strong. Backlog started to normalize but is still at a very high level of six months, which is practically twice, 2 times the normal situation historically. We have 6.3 months in actives and 5.7 months in passives. Selling prices continue to grow our, in general, 0.6% versus prior quarter and plus 0.5% versus prior year. For the actives, we see plus 0.4% versus prior quarter and plus 0.7% versus prior year. And for the passives plus 0.7% versus prior quarter and plus 0.2% versus prior year. Some highlights of our operations. Also, in Q3, we were able to offset the negative impact of inflation on the contributive margin by cost reduction and by innovation. SG&A cost in the quarter came in at $98 million, lower than expectations also due to exchange rate effects. Manufacturing fixed costs in the quarter were $126 million, lower than expectations also due to exchange rate impacts. Total employment at the end of the third quarter was 24,130 people, 1.7% up from prior quarter and actually, the consequence of further increasing capacities for most of our product times. Excluding exchange rate impacts, inventories in the quarter increased by $19 million, raw materials by $9 million, inventory and process and finished goods by 10 million. Despite this inventory increase, inventory turns in the third quarter remains at a very satisfactory level of 4.4 after 4.6 in prior quarter. Capital spending in the quarter was $50 million versus $36 million in prior year, $34 million for expansion, $3 million for cost reduction and $13 million for the maintenance of the business. For the year 2018, we continue to expect CapEx of approximately $220 million. Concerning cash flow, we, in the third quarter, generated cash from operations of $71 million versus the generation of $118 million in prior year. Cash from operations in the third quarter was burdened by cash taxes paid related to cash repatriation of $65 million. We generated $232 million on a trailing 12 months basis. Cash from operations on a trailing 12 month basis was driven by $157 million. We generated, in the third quarter, free cash of $21 million versus the generation of $82 million in prior year. Free cash generation in the quarter was burdened by $65 million of cash taxes paid. We generated $29 million on a trailing 12 months basis. Free cash generation on a trailing 12 month basis was burdened by $157 million. Coming to our product lines, resistors and inductors first. Vishay's traditional, and since years, most profitable business grew steadily. With resistors and inductors, we enjoy a very strong position in the industrial, auto, mill, and in the medical market segments worldwide. Sales in the third quarter were $253 million, up versus prior quarter by $4 million were up by 1% and up versus prior year by $37 million or by 17%, excluding exchange rate impacts. Book to bill in the third quarter was 1.02 after 1.16 in prior quarter. Backlog was stable on a very high level of 5.4 months. Gross margin in the quarter remained at quite excellent 34% of sales. Inventory turns in the third quarter were at a very satisfactory level of 4.2, slightly down from prior quarter at 4.4. There were price increases plus 0.4% versus prior quarter and plus 0.2% versus prior year. We continue to invest in manufacturing capacities of power inductors, metal strip resistors and thin film resistor chips, as well as MELF film Resistor. Our new acquisition, UltraSource, was solid and profitable at a gross margin of 40%. Coming to capacitors. Our business with capacitors is based on a broad range of technologies with a strong position in American and European market niches. We enjoy increasing opportunities in the fields of power transmission and electric cars, namely in Asia, especially in China. Sales in the third quarter were at $116 million, 5% above prior quarter and 22% above prior year, which again excludes exchange rate effects. Book-to-bill in the quarter was at 1.03 after spike of 1.59 in previous quarter. Backlog was stable at a very high level of 6.3 months. Gross margin in the quarter increased to 23% of sales from 22% in prior quarter. Inventory turns in the quarter were at a satisfactory level of 3.5. Selling prices were increasing by 1.5% versus prior quarter and 0.4% versus prior year. And we remain confident for the future of capacitors in view of growing opportunities, in particular, in Asia. Opto products. Vishay's business with Opto products consisted of infrared emitters, receivers, sensors and couplers, as well as LEDs for automotive applications. Sales in the quarter were $76 million, 2% above prior quarter and 1% above prior year, which excludes exchange rate impacts. Book-to-bill in quarter three was 0.88, after 1.20 in prior quarter. The backlog decreased to 5.0 months from 5.4 months in Q2, its healthy in the situation here. Gross margin in the quarter increased further to a quite excellent level of 36% of sales after 35% in the second quarter. Inventory turns of 5.1 were record. Moderate price decline we’ve seen of minus 1.1% versus prior quarter and minus 2.6% versus prior year. We do expect increasing opportunities in sensors, going forward. Coming to diodes. Diodes for Vishay represents a broad commodity business where we are largest supplier worldwide. Vishay offers virtually all technologies, as well as the most complete product portfolio. The business has a strong position in the automotive and the industrial market segments, and keeps growing steadily and profitably since years. Sales in the quarter were $187 million, 3% above prior quarter and 16% above prior year, excluding exchange rate effects. Book to bill of 0.86% in the quarter after 1.08% in the second quarter. The backlog for diodes has started to normalize. We are at 6.8 months, which is down from 7.4 months in prior quarter and still very high. Gross margin in the quarter defended its Q2 record level of 29% of sales. Inventory turns remained at the very satisfactory level of 4.7 also for diodes we have seen increasing prices 1.1% up versus prior quarter and 2.4% up versus prior year. And we do continue to expand critical manufacturing capacities. Last but not least, the MOSFETs. Vishay continues to be one of the market leaders in MOSFET transistors. MOSFETs, over the last years, developed a strong and fast growing position in automotive. Sales in the quarter were $144 million, 6% above prior quarter and 14% above prior year, excluding exchange rate effects. The book-to-bill for the MOSFETs was 0.88% in quarter three after 0.96% in the second quarter. And like for the diodes, we see a normalization of backlogs continuing 6.3 months now coming down 7 months in the second quarter, like for diodes still a extremely high backlog. Gross margin in the quarter was 27% of sales, slightly below its record levels of 28% in prior quarter since the reason there was no further inventory builds. Inventory turns were very satisfactory at 4.9 turns. Selling prices continue to increase, plus 0.3% versus prior quarter and also plus 0.3% versus prior year. We are in process to expand manufacturing capacities in house and at foundries. Let me summarize. Carried by a broad and enormously strong demand for most of our product lines, Vishay enjoys another very successful year. We presently see first signs of a normalization of inflated backlogs for commodity products, which is nothing but normal when supplies starts to catch up its demands. Most important, overall, consumption of OEMs continued strong and so thus POS of distributors. For the mid and long-term, we trust in an accelerated growth trend of our key markets, automotive and industrial. In order to be prepared, we continue critical manufacturing capacities while remaining careful in adding operational fixed costs. Even in times of higher than normal capital expenditures, we remain to be a strong generator of free cash, working also on the optimization of our capital structure. All-in-all, Vishay maintains to be a financially successful, solid and predictable enterprise, selling innovative and competitive products to promising and growing markets. For the fourth quarter, we guide for a sales range between $7.45 million and $7.85 million, net gross margins of 28.0% to 29.5% of sales at the third quarter exchange rates. Thank you very much. Peter?
Peter Henrici: Thank you, Dr. Paul. We’ll now open the call to questions. Krystal, please take the first question.
Operator: Our first question comes from the line of Shawn Harrison with Longbow Research.
Gausia Chowdhury: This is Gausia Chowdhury on for Shawn Harrison. So first of all, if you look at the book to bill, with Asia at 0.69 and distribution at 0.80, it's surprising that sales guidance is not weaker. So how should we consider this dynamic, is there’s more risk maybe for the first quarter to be much more versus seasonal and maybe you’re just not seeing it in the fourth quarter?
Gerald Paul: Well, the backlog was extremely high, to say it even unheard of. And we expected since a long time some normalization, some book keeping, if I may say, on the side of the distributor, and this is taking place now. We watch always the 13 weeks shippable backlog. This has no impact yet, really not. So, we don’t see a major change of the situation except for some corrections, which were expected.
Gausia Chowdhury: And then can you give us more color on what you’re seeing in China specifically. If there’s any concern or pockets of weakness within any of the end markets, or any area?
Gerald Paul: Well, there’s some concerns in China, if that’s right to say, concerning the new U.S. tariffs there. But this may also come -- lead to some slowdown in automotive, which you’ve seen. On the other hand, the slowdown is in pieces of auto, of cars. On the other hand, there’s an increasing electrification in the cars and we see no decline at all in the demands of our automotive customers, which cover also China. So, obviously, this increase in electrification of sets some reduction of the car -- of new cars, as a matter of fact. We do not see for us major changes in the trend. And again, distributors normalize at the moment their backlogs and operation this is going on, which doesn’t mean at all that the end customers takes this.
Gausia Chowdhury: And then just one more from me about the lead times, I think you said that they are pretty stable. Are there any pockets of change that you’ve seen or are they increasing in any areas?
Gerald Paul: Not that easy answer to give for us, because we have a very broad portfolio and the situation is different in different segments of our portfolio. In general, the lead times are decreasing, no question, but they’re still very high, even to the point that we do have problems with certain customers, as you can imagine. Customers are still very keen to get products. The lead times in certain cases has come down, as I’ve said, because we increased capacity. On the other hand, overall, I would say, in my long career I haven’t seen such a situation as we have it to-date, concerning long lead times. It’s even in array -- I still have the feeling we do not fulfill customers this is why we add capacity and continue to do so.
Operator: [Operator Instructions] And our next question comes from the line of Ruplu Bhattacharya with Bank of America Merrill Lynch.
Ruplu Bhattacharya: Dr. Paul, I wanted to start by asking about margins. Opto margins were at 36% very high margins. Do you think this is a sustainable level of margins going forward based on the demand that you're seeing? And the same for resistors, even resistors margins were pretty high at 34%. So if you can just give us your thoughts on that?
Gerald Paul: So, neither is the margin for resistors, inductors nor the margins for Opto value. We were at this level quite often to say it frankly. It all depends on the volume. And as long as the volume holds and this looks that way, we also will hold this margin. So, there is no question. It's a volume game. And again, this was not a spike. Resistors were -- it’s a good margin also for resistors at 34% we know that, but very often we were above 30%. And for Opto, we were always around 33%, 35%. So it's not a spike in that sense. Yes, the answer is if the volume holds, we can hold these margins.
Ruplu Bhattacharya: And then overall in terms of supply and demand, I think you have talked about supply catching up the demand and normalization of backlog. Overall, you're adding capacity, competitors are adding capacity. When do you think industry supply comes into balance with demand based on what you're seeing in the market?
Gerald Paul: Hard prediction, because I don’t know exactly of course what happens in the market, I don’t have the crystal ball. But for sure, we are in the process but it’s a slow process of normalization, a slow process as I see it. And the end markets are strong at least for the standpoint of the electronic component makers, they are strong. And we do not see a decline in our key markets in automotive and in industrial. In fact, we are in midst of negotiations with the major automotive customers as the demand goes up for next year. So, we are trying to optimistic that there's good situation between choice and nearly two years now will continue. Sooner or later, of course, there is no demand, which will not be fulfilled, that’s true. But I think it’s a slow process.
Ruplu Bhattacharya: And then in terms of the capacity that you're adding, which areas are you getting capacity? And if you can give us any guidance on how should we think about CapEx in fiscal '19. Do you think it will be higher or lower than this year?
Gerald Paul: I'll start with the later. It'll be somewhat lower, will be between $180 million and $200 million as we see it at the moment. But which is absolutely required to fulfill the requirements of our customers, as a matter of fact. And not exactly the $220 million, but not too much below between $180 million and $200 million and really we put -- we have to expand diodes like MOSFETs, we have to expand resistors, we have to expand also certain lines in Opto. So, it’s a broad expansion but believe me we will not go overboard.
Ruplu Bhattacharya: And the last question for me. With respect to your authorization for convert repurchase. Is there a limit? Is there a certain dollar amount that you can repurchase?
Gerald Paul: Well, as a matter of fact, this is a very flexible thing. We go ahead and in a certain way opportunistically buyback these converts. As a matter of fact, this is what I would like to state. It's a very important program, I believe. And we are going to start fast.
Operator: Our next question comes from the line of Jim Suva with Citi.
Jim Suva: Can you talk a little bit about pricing versus normal trends currently and going forward? Because I believe a lot of your contracts may be like more than one quarter in nature and so, they may be coming up for renewals. And I guess it’d be fair to hopefully assume that maybe pricing, going forward, will continue to be stronger-than-expected. Is this correct or can you help correct me if not?
Gerald Paul: You’re absolutely right. We are in contract negotiations with large automotive customers. But on the other hand, there’re contract negotiations with others throughout the year. Still, the big automotive guys there really are on the schedule now. And the price pressure is always maybe not as higher as it used to be, because it’s still -- there’re still shortages, to say it. And major customers, they want to be safe and we feel less pressure than we historically have felt.
Operator: Our next question comes from the line of Harlan Sur with JPMorgan.
Harlan Sur: Can you help us understand what are the biggest drivers of the gross margin decline in the December quarter? Are fixed costs rising as you guys bring in more capacity?
Gerald Paul: It has less shipping days, first of all, so it’s a volume thing. So really, if you took just the sales, which we’ve to forecast, not because of the length of orders it’s because of the length of shipping days and manufacturing days in that sense as compared to the third quarter. This is the major driver of all that. Basically also there, we’ve a positive development in SG&A, which was a singularity which normalizes to an extent in the fourth quarter. This basically makes a difference, there’s also some on inventory. We’ve still the inventory in the third quarter, some inventory, we are going to reduce inventory in the fourth quarter. These are the major drivers of the gross margin.
Harlan Sur: And maybe similar to the last earnings call, I am just curious as we headed into the fourth quarter, as you mentioned, we’re continuing to hear about some slowdown in industrial, and Greater China and various other aspects of geography there. Maybe similar to last quarter, I am just curious. What is the book to bill that the team is currently seeing right now thus far here in the December quarter?
Gerald Paul: Above 1, it’s better than in the third quarter. So it’s 1.12. I expected the question somehow. [Multiple Speakers] By the way, just wanted to add, and this positive book to bill is equally existent for semi conductors and for capacitors now.
Harlan Sur: And so, as we think about normal seasonal trends for you guys, obviously, industrial/auto always tends to be, I think seasonally stronger in the first half of next year. And so given the trend that you’re seeing positive book to bill, sounds like you’re still anticipating normal seasonal trends as you enter 2019?
Gerald Paul: We see no tangible signs for the downturn.
Harlan Sur: Maybe just my last question. Obviously, you guys are leader in diodes. I am just curious you're adding more capacity there. Can you just help us understand, what are some of the subcategories within diodes that you're still seeing some tightness?
Gerald Paul: Well, it's all rectifiers are tighthers and we have delivery times, which I am embarrassed to talk about even its long and we work against these long delivery times. And it's really on the rectifier sector very strong, but we are leading in rectifiers, maybe we have a good position, especially in automotive.
Operator: [Operator Instructions] And at this time, there are no further questions.
Gerald Paul: Thank you. This concludes our third quarter conference call. Thank you for your interest in Vishay Intertechnology.